Christina Kmetko - IR:
J.C. Butler - President and CEO:
Elizabeth Loveman - SVP and Controller:
Operator: Good morning, ladies and gentlemen, and welcome to the NACCO Industries Inc. First Quarter 2025 Earnings Conference Call. At this time, all lines are in listen-only mode. [Operator Instructions] This call is being recorded on Thursday, May 1, 2025. I would now like to turn the conference over to Christina Kmetko, Investor Relations. Please go ahead.
Christina Kmetko: Thank you. Good morning, everyone, and welcome to our 2025 first quarter earnings call and webcast. Thank you for joining us this morning. I'm Christina Kmetko, and I'm responsible for Investor Relations at NACCO. Joining me today are J.C. Butler, President and Chief Executive Officer; and Elizabeth Loveman, Senior Vice President and Controller. Yesterday, we published our 2025 first quarter results and filed our 10-Q. This information is available on our website. Our remarks that follow, including answers to your questions, contain forward-looking statements. These statements are subject to several risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements made here today. These risks include, among others, matters that we've described in our earnings release, 10-Q, and other SEC filings. We may not update these forward-looking statements until our next quarterly earnings conference call. We'll also be discussing non-GAAP information that we believe is useful in evaluating the company's operating performance. Reconciliations for these non-GAAP measures can be found in our earnings release and on our website. Now I'll turn the call over to J.C. for some opening remarks. J.C.?
J.C. Butler: Thank you, Christie, and good morning, everyone. I'm pleased to report another quarter of strong financial results. Consolidated operating profit increased over 60%, while this improvement was partly offset by higher net interest expense and a reduction in other income. We still delivered a 7% increase in net income and a 14% increase in EBITDA. Christie will provide more detail about these financial results in a minute, but first, let me talk about our operations. The significant improvement in operating profit was driven by our coal mining segment, where segment adjusted EBITDA more than tripled over the prior year. There were two primary reasons for this improvement. First, we had an increase in earnings in our unconsolidated operations, led by higher pricing at Falkirk and a moderate increase in customer demand at Coteau. Second, Mississippi Lignite Mining Company operated more efficiently on improved customer demand compared to 2024, when the Red Hills Power Plant was operating with only one of its two boilers. I'm thrilled to see these improvements in our coal mining segment. We are also encouraged by the current administration's actions, which are fostering a more favorable regulatory environment for the fossil fuel industry. Mitigation resources also contributed positively to the improvement in consolidated operating profit in EBITDA. This business reported its second consecutive quarter of profitability and anticipates generating profit for the full year. North American Mining is operating well, but its results were affected by reduced customer demand, some of which is due to temporary one-off situations, while some customers are experiencing a softer market. Operating profit decreased on a significant reduction in year-over-year ton sold, as well as an increase in operating expenses. This decline was partly offset by an increase in part sales. While this quarter didn't provide a favorable year-over-year comparison at North American Mining, results improved compared with the fourth quarter of 2024. We expect North American Mining to generate increasing levels of operating profit and EBITDA over time, as benefits from new and extended contracts add to the profitability of existing contracts. Let me shift to Sawtooth Mining, which is the exclusive contract miner for the Thacker Pass lithium project in northern Nevada. Lithium Americas continues to make progress on the Thacker Pass project. Lithium Americas and General Motors recently announced their final investment decision for construction of Phase I of the project. We view this as a positive step toward development of a U.S.-produced lithium supply chain that will reduce American dependence on foreign suppliers for critical minerals. We continue to support the project by assisting with certain construction services as they ramp up work to build the lithium processing plant. Phase I production continues to be estimated to begin in late 2027. At Minerals Management, segment-adjusted EBITDA increased 10% over the prior year. As we mentioned in our year-end earnings release, during the fourth quarter of 2024, Minerals Management increased their investment in a company that holds non-operated working interests in oil and natural gas assets in the Hugoton Basin. This investment drove the improvement in segment EBITDA and is expected to continue to be accretive to future earnings. We are very pleased with the work done by the Catapult Mineral Partners team, which manages this segment. While we continue to budget up to $20 million annually to expand our portfolio and provide long-term stable cash flow generation, our business model allows flexibility regarding the cadence and type of investments we make based on available opportunities that we believe will result in significant long-term value and increasing profitability. We believe that this expansion and diversification program has us well positioned to generate increasing levels of operating profit and EBITDA well into the future. The current quarter's results support my belief that 2025 is a pivotal transition year for our company, which is described in more detail in our most recent annual report. Overall, I'm pleased with the way all of our businesses continue to advance their strategies, and I continue to be very optimistic about the future. With that, I'll turn the call back over to Christie to cover our quarterly details and outlook in more detail. Christie?
Christina Kmetko: Thank you, JC. At the consolidated level, we reported operating profit of $7.7 million and net income of $4.9 million, or $0.66 per share. This compared to a 2024 first quarter operating profit of $4.8 million and net income of $4.6 million, or $0.61 per share. Adjusted EBITDA increased to $12.8 million from $11.2 million in 2024. As JC mentioned, the significant improvement in operating profit was primarily driven by a substantial increase in the coal mining segment, operating profit, and improved results at mitigation resources. These improvements were partly offset by lower North American Mining segment results and an increase in unallocated operating expenses, principally employee-related and outside service costs. The improvement in operating profit was offset by a $3.3 million unfavorable change in other income expense, moving from prior year other income to current year other expense. This decrease was due to lower investment income and higher net interest expense and resulted in a moderate decrease in income before taxes. Lower income tax expense in 2025 compared with 2024 led to the moderate increase in our consolidated net income. Moving to the individual segments, our coal mining segment reported operating profit of $3.8 million and generated segment-adjusted EBITDA of $5.8 million in the 2025 first quarter. In 2024, this segment had an operating loss of $400,000 and segment-adjusted EBITDA of $1.8 million. As JC already discussed, year-over-year improvements at both our consolidated and unconsolidated mines led to these favorable results. JC already provided explanations of the North American Mining and Minerals Management segment results, so I'll discuss the financials. At North American Mining, operating profit decreased to $2 million from $2.4 million in the prior year first quarter. Segment-adjusted EBITDA of $4.7 million was comparable to the prior year. Minerals Management's first quarter 2025 operating profit of $7.9 million was comparable year-over-year, while segment-adjusted EBITDA increased to $9.8 million from $8.9 million a year ago. Looking forward, in 2025, we expect to generate a moderate year-over-year increase in consolidated operating profit. In the coal mining segment, 2025 customer demand is expected to lead to a modest increase in deliveries compared with 2024. In addition, the coal mining segment expects to benefit from the absence of temporary price concessions at Falkirk. Mississippi Lignite Mining Company continues to recover from inefficiencies experienced, while Red Hills Power Plant operated on one of two boilers for more than half of 2024. With the power plant now anticipated to operate at a level consistent with historical averages, coal deliveries are expected to return to more normal levels, resulting in modestly improved cost efficiencies. However, an anticipated reduction in the 2025 contractually determined per-ton sales price compared with 2024 is expected to offset these improvements, leading to lower results at Mississippi League Mining Company. This, combined with an anticipated increase in operating expenses in the coal segment overall, is expected to result in a modest year-over-year decrease in coal mining segment operating profit. North American Mining is expected to deliver improved results in 2025, with anticipated lower first-half results offset by expected performance gains in the second half of the year. While customer demand is projected to remain relatively stable year-over-year, profitability improvements will be driven by operational efficiencies and an increased focus on parts sales. Minerals Management's high-quality, diversified portfolio of oil and gas mineral interests provides a strong foundation of well-positioned assets that are expected to continue to deliver solid financial results. As J.C. mentioned, Minerals Management's 2024 investment in a company operating in the Hugoton Basin is expected to continue to contribute to the anticipated improvement in 2025 operating profit over 2024. First-half earnings are expected to be comparable to prior year results, with an anticipated significant improvement in the second half given anticipated trends in oil and natural gas prices and projected volume. We expect to complete the termination of our defined benefit pension plan this year. Once complete, obligations under the terminated plan will be transferred to a third-party insurance provider, eliminating future earnings volatility from changes in our pension obligations. Although the plan is currently overfunded, a significant non-cash settlement charge is anticipated upon termination that will result in a substantial decrease in net income compared to 2024. Excluding the anticipated settlement charge, net income is expected to decrease moderately from 2024. Before I discuss our liquidity and cash flow, I wanted to point out that we have added total assets by segment to our segment disclosures in the 10-Q. We believe this information will help our investors better understand the value of each of our segments. Looking at other balance sheets and cash flow information, we have consolidated cash of approximately $62 million and debt of $96 million at March 31, 2025. The availability under our revolver was $90.5 million. During the first quarter, we paid $1.7 million in dividends and repurchased approximately 22,000 shares of our Class A common stock at prevailing market prices for an aggregate purchase price of $700,000. As of March 31, 2025, we have $7.8 million remaining under our $20 million share repurchase program that expires at the end of this year. Based on our current business plan, we project a steady increase in annual cash flow generation beginning in 2025. We will now turn to any questions you may have.
Operator: Thank you, ladies and gentlemen. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Doug Weiss with DSW Investment.
Doug Weiss: Hey, good morning. I guess just starting with the coal segment and focusing on Mississippi lignite, I guess that continues to show gross profit losses, although I think there was a $3 million inventory charge in the quarter. Can you just explain a little bit what leads to those recurring inventory charges?
J.C. Butler: I just want to make sure you're asking about the inventory impairment. Is that correct?
Doug Weiss: Yeah.
J.C. Butler: It's basically what is the cost of the coal on the pile, which is determined by regular inventory accounting compared to the sales price. There's a couple things going on with respect to that. One is last year was a pretty inefficient year because for part of the year we operated really with reduced costs, but you can't really cut it in half, even though the power plant for the first part of the year was only taking half load because one of the boilers was out. That ended up with a situation where we were putting pretty high-cost coal into the inventory. We continue to work our way out of that. The other side of it is on the price side, we've got a lower adjustment in the price right now, which I know we've talked about this before, is determined by a formula that's in the contract. It's the same formula that's been there since the contract was signed in the mid-late 1990s. That formula price looks at a basket of indices that anybody can pull off government data sites. They are partly based on a one-year change in those indices and partly based in a five-year change in those indices. One year is pretty normal. There's nothing odd happening there. If you think about five years ago right now, we were May 1st of 2020. If you think about indices for various commodities and factors in the US economy, they were all over the place. For the next year or so, we're going to go through a period where the price is going to be influenced by this five-year change in prices. It's looking at what it was five years ago versus now. We've got some noise in all of this on the pricing side related to the fact that we just had very odd movement in the indices from five years ago. It's really a combination of higher-priced coal on the pile because of inefficiencies last year and some strange things going through what should otherwise be pretty normal movement in index-adjusted price. I think when we get through this period when the price is behaving in strange ways and we get more normal operating costs flowing through the inventory, this is all going to return to a more normal pace.
Doug Weiss: Is that probably next year?
J.C. Butler: Well, I would say yes, but barring any other thing happening in the future, it's a comparison from current indices to past indices, whether that's one year in the past or five years in the past. I can't tell you what I expect to happen with those indices over the next year or two.
Doug Weiss: My understanding is they would be based on price increases? I don't think you've given too much detail on what the individual components are. I think you might have mentioned labor was one of them.
J.C. Butler: One of the larger indices in all of this is diesel. Five years.
Doug Weiss: So, oil prices have an influence on this. Essentially that's the revenue component. But on the cost side, that would sort of flow through. I mean, that should normalize over the next year. Is that the right way to think about that?
J.C. Butler: Yes. Assuming that the plant operates as we think it will, the cost side should normalize. Including the cost of inventory that are on the stockpile. A coal mine is an operation that has a lot of fixed costs. You get your best efficiencies like any kind of factory when it's operating at its designed level. When you have periods when you're operating at a lower level, it just increases your unit costs. It's really no different than a factory.
Doug Weiss: In terms of regulatory, a more favorable regulatory environment, are there practical implications there? I know you had some pending EPA issues, so I assume that those are less of a concern. But are there other practical implications?
J.C. Butler: I mean, the EPA, it's not just the EPA. It's the Department of Energy. It's the Department of Interior. You've got an administration that is very focused on developing United States resources, which include incredibly abundant coal, oil, and natural gas, fossil fuels. Two weeks ago-- was it two weeks ago, three weeks ago, Liz? The President-- we sort of are referring internally as Coal Day. But the President signed four executive orders that were focused on – really focused on coal. But it included things that dealt with making sure that people are looking at the stability of the grid before any coal-fired power plants are retired. One of them made coal a critical mineral in the government context. He asked agencies to look at any sort of regulatory biases against fossil fuels, including coal, and get those out of the process. And also encouraging people to look at developing coal resources, particularly when it can support the 24/7 energy needs in data and AI. You ought to just-- I'm not going to describe it as well as you can find on the internet. I'd encourage you just to Google presidential executive orders on coal, and you can read through the four. But it's pretty good stuff.
Doug Weiss: Let's see. On North American Mining, is that going to be consolidated or unconsolidated?
Elizabeth Loveman: It's consolidated.
Doug Weiss: Okay. And then in terms of normal seasonality there, is the first quarter typically a soft quarter anyway? I mean, what would be the cadence of earnings for that segment?
J.C. Butler: In North American Mining, I don't think there really is much seasonality to that, largely because of where we operate. The majority of our operations are in Florida, although we are expanding across the country, but it's mostly in southern states. You don't really get any seasonality, unless from time to time you get a hurricane that goes across Florida, and that can disrupt operations in varying degrees. It depends on where the hurricane hits and what the damage is and things like that. But that's really the only kind of seasonality that I'd think of in that business. Otherwise, it sort of just marches along quarter by quarter.
Doug Weiss: And was weather a factor, again, in the first quarter?
J.C. Butler: Not really. I think what we saw in the first quarter is there were a few one-off situations, although situations sort of implies something negative. It's just periodic outages on drag lines and customer pauses in their operations while they do things on their side of the fence. So we had some of that going on in the first quarter. And then we have had some customers that are just seeing a modest decline in demand. Nothing dramatic, but they're seeing some softening demand. Because we're feeding their operations, we're fully integrated into their quarries, and we're operating in specific quarries for them. It's really what demand are they seeing at their quarries and what sort of production they need out of us. So it's a little bit of one-off stuff, and it's a little bit of some just economic softness with some customers.
Doug Weiss: I guess then on free cash flow, it looked like there were a number of puts and takes on working capital. I guess the biggest is you had a large item for mining supplies inventory, which you have a non-current asset, so I assume that's more than a year. Do you still expect working capital to be a source of cash this year? And I guess why that large step-up in that mining supplies inventory?
Elizabeth Loveman: So it really wasn't a step-up. If you look, we just reclassed a portion from current to long-term. We really dug into our inventory, and a lot of that is just critical spares. And we don't necessarily have a plan to use them in the next 12 months, so we reclassified a portion of that. But if you add up the total, it's $94.3 million of inventory, which compares to $94.6 million last year. So it was just a reclassification within the balance sheet to better differentiate what we expect to turn in 12 months versus not.
J.C. Butler: Doug, if you think about the fact that we operate on the North American Mining side of the business in particular, we operate something like 35 drag lines, plus or minus. It's a single machine that's an important part of the customer's factory. We've got a drag line on site that's producing the aggregates that our customer will cut, wash, crush, size, and sell to its customers. If we have an unexpected outage because of a component failure on a drag line, that can be a very serious issue because some of these components on these drag lines can take months to acquire, which is why we keep critical components on hand in our inventory. As Liz described, we took a deep dive into that and decided that some of those things may get used. I mean, look, you never know when you're going to have an unplanned outage, but we looked at a number of these parts and said, we're holding these for the long term. Think of this as an insurance. Holding the part is really like an insurance policy on the operation of that machine, and so that's why we reclassified them from short term to long term. Your overall question about working capital, though, we're not really a working capital-driven business. When we have a drag line outage coming up, particularly in our North American Mining part of the business, or it could be at Mississippi Lignite Mining Company, we will increase our inventory because you want to have all the parts on hand when you take your drag line down in order to do the work. So from time to time, we'll increase our inventory, and then it'll get consumed while we're doing an outage. So you will see some of those fluctuations. As far as customer receivables or payables, it's really just kind of a steady cadence that doesn't fluctuate that much over time.
Elizabeth Loveman: One addition that I'd make on that is that we do have a deposit. We have a line on our balance sheet deposit with vendors. You can see that it's $14.5 million at the end of March, and we expect that to turn this year. So that will be a pickup this year, but we've been increasing that. It went up $5 million in the quarter, so that kind of offsets some of the improvements. And we also talked about we had a change in the timing of our insurance renewal, and so we prepay that and then expense it throughout the year. We move that out of Q1, so that's part of what was driving some of the changes in working capital.
Operator: [Operator Instructions]
J.C. Butler: Looks like we lost Doug somehow.
Operator: We have Doug on the line again.
Doug Weiss: I guess also on the balance sheet you have that assets held for sale line. What's in that?
Elizabeth Loveman: It consists of some drive lines and a building in North Dakota that we got as part of the termination settlement with Great River Energy.
Doug Weiss: And you expect to sell those this year?
Elizabeth Loveman: They're all being actively marketed.
Doug Weiss: I see. Okay. And then I guess the last question would just be on the remediation. That, in my sense, is kind of lumpy as you get credits and realize proceeds on those. Is that right? Is that not a steady quarter-to-quarter business?
Elizabeth Loveman: You're talking about mitigation?
Doug Weiss: Yeah.
Elizabeth Loveman: Mitigation resources, yes. That's lumpy.
J.C. Butler: It's sort of lumpy by design, right? The life cycle of a mitigation bank is we identify an area where we want to be. We ultimately identify a watershed. And these are going to be in high-growth areas, high-growth states, high-growth areas in those states. We acquire a piece of property. We work with The Army Corps of Engineers to develop the plan for restoring the streams and wetlands to a healthy state. And we and they, The Army Corps of Engineers, agree on something that's called a mitigation banking instrument. It specifies the work that we need to do, and then it provides the timeline with which credits will be made available for sale. And that can be over a 10-year timeline. And it might be that you get some credits available right away because you're putting a conservation easement on the property. You may then take two years, I'm making up the two years, but it might be two years to get the next lump of credits that are available once we've done some physical work on the streams or wetlands. And then, as we demonstrate the health of the stream or we get, grass and trees and natural, plants established, you might get more credits over time. And so the life of the credit of the mitigation bank will have periodic credit releases that will turn into credit sales and we'll make money on those. Now, this business is still pretty young in its life. As we get more and more mitigation banks, just the law of averages and large numbers will start to smooth this out because you're not just dealing with a handful of mitigation banks that have credits. You've got lots of mitigation banks with credits. We're also supplementing that income with smaller, shorter-term reclamation and restoration projects that are largely done on behalf of state and local municipalities, state governments, local municipalities, including the abandoned mine land work. All those projects tend to be on average less than a year. And, there's sort of a steady source of recurring income. Same deal, as we get more and more of that flowing through this business, it'll start to smooth out the overall results, but certainly for a while, we're going to continue to see pretty lumpy earnings in that piece of the business. I don't want you to think that that doesn't make it a great business. This is a great business, really like the business model, really like the opportunity for returns that it provides with us. And it's really just a story of scaling the business. And that's why we're excited. In the last two quarters, we've reported profitability and we expect them to be profitable for the year.
Doug Weiss: Is there a way to track your expansion in that business in terms of, the number, the acreage or some other metrics?
J.C. Butler: Liz and I are looking at each other, trying to figure out what the metrics would be. I mean, it's number of mitigation banks.
Elizabeth Loveman: Even then the credits within each bank differ.
J.C. Butler: Yeah. And the pricing differs.
Elizabeth Loveman: Is it a stream credit or a wetland credit? So that there's -- yeah.
J.C. Butler: We don't have a good answer for that right now, other than I can assure you that the business is growing pretty rapidly and we're pretty excited about the trajectory that we're on, but we haven't figured out a good metric to describe that. Look, it'd be easy to say number of mitigation banks, but some of these mitigation banks are very small and some of them are very large. It could be acreage, but that varies tremendously. If you've got, let's just say you've got a 100 acres in a place that has competitive banks that can be in its area of moderate growth that can be very different than a mitigation bank with not a lot of competition in an area with extremely rapid growth. And we run these banks over a number of years and we try to get in when land has not yet become astronomically expensive. So what we tend to see is, in the early days, we can buy the land and we can do the work. And then you just see the area explode. Think about the highest growth areas in the country. The value of those credits can go up pretty substantially, even if it's a small bank, it can suddenly turn into a really valuable asset.
Doug Weiss: So do you actually own the land on those areas?
J.C. Butler: In some instances, we own the land. In other instances, we will partner with a landowner. We've got a contractual relationship that we will enter into with them whereby they provide the land and we do the work. We manage the conservation easement, and then there's a compensation mechanism that rewards the landowner for the landowner's participation in the mitigation bank. And there's several models for how we might reward them.
Doug Weiss: I guess last question would just be on the, you mentioned in the release, it sounds like you're making some progress on the solar initiative, any more color you might have on that?
J.C. Butler: That's our region resources business. We're looking at solar. Solar needs backup as they just learned in Spain. We're looking at solar on its own. We're looking at solar with, various types of backup for solar that continues to develop. There's a little bit of uncertainty in that business because, there's some uncertainty about how tax credits are going to really play out in the future. But the projects that we're working on, we still feel pretty good about as they move forward. The other piece of this, as you can read in The Wall Street Journal almost every day is there's a lot of folks doing data, whether it's regular data or AI or, other supporting functions and they're looking for behind the meter solutions. And that's another opportunity where you can develop a package of generation could be solar, probably solar with backup, put it behind the meter. You don't have to deal with interconnect into the transmission grid and things like that. So, there's a lot of opportunity here. We're in this business because we've got a lot of land close to generation assets and transmission if that's the route we choose to go. We're also in it because, we've operated adjacent to the energy space for a long time. And we feel like we can leverage and really capitalize on that knowledge and skills in order to have another piece of our business.
Doug Weiss: Which part of your land are you likely to do that work on?
J.C. Butler: You said, which part of the land?
Doug Weiss: Yeah. I mean is it complementary?
J.C. Butler: It's largely on reclaimed mine land. So think about where we have mines. And as we mine, we were always reclaiming behind our mining. And so we've got reclaimed mine land that actually is in many instances, pretty darn good place to put projects like this.
Elizabeth Loveman: We noted in our release Mississippi and Texas.
Doug Weiss: Sorry, say again.
Elizabeth Loveman: We noted that in the release of Mississippi and Texas.
Doug Weiss: Well as always appreciate the time and talk to you next quarter.
J.C. Butler: Yeah. Thank you, Doug. We appreciate the call.
Christina Kmetko: Thanks, Doug.
Operator: There are no further questions. Please continue.
Christina Kmetko: Okay. With that, we'll conclude our Q&A session. Before we conclude, I'd like to provide a few reminders. A replay of our call will be available later this morning. We'll also post a transcript on the investor relations website when it becomes available. If you have any questions, please reach out to me. My phone number is in the release. Other than that, I hope you all enjoy the rest of your day and I'll turn it back to Vincent to conclude the call.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.